Operator: Good morning ladies and gentlemen, and welcome to the Caterpillar Full-year and Fourth Quarter 2012 Earnings Results. At this time, all lines have been placed on a listen-only mode and we’ll open the floor for your questions and comments following the presentation. It is now my pleasure to turn the floor over to your host, Mr. Mike DeWalt. Sir, the floor is yours.
Mike DeWalt: Thank you very much and good morning and welcome everyone to our year-end earnings call. I’m Mike DeWalt, Caterpillar’s Corporate Controller and Director of Investor Relations. On the call today, I’m pleased to have our Chairman and CEO, Doug Oberhelman; and our Group President and CFO, Brad Halverson. This call is copyrighted by Caterpillar Inc. and any use, recording or transmission of any portion without the expressed written consent of Caterpillar is strictly prohibited. If you would like a copy of today’s call transcript, we will be posting it in the Investors section of our caterpillar.com website, and it will be in the section labeled Results Webcast. This morning we’ll be discussing forward-looking information that involves risks, uncertainties and assumptions that could cause our actual results to differ materially from the forward-looking information. A discussion of some of the factors that either individually or in the aggregate could make actual results differ materially from our projections can be found in our cautionary statements under Item 1-A, Risk Factors, of our Form 10-K filed with the SEC back on February 21 of 2012, and also in the forward-looking statements language contained in today’s release. In addition, a reconciliation of non-GAAP measures can be found in our financial release and that’s been posted on our website at caterpillar.com. Okay. This morning before we get into the Q&A, I’m going to cover four topics. The first will be a short summary of the full-year of 2012; then I’ll take a few minutes to discuss how we ended the year compared with what we expected in our outlook for 2012 that we issued back in October. Our third topic will be a comparison of the fourth quarter of 2012 with the fourth quarter of 2011, and then I’ll finish-up with my final topic which is a discussion about our 2013 outlook. Then I’ll turn the floor over to Doug Oberhelman, and Doug will take a few minutes to talk about our Siwei acquisition. All right, lets get started with 2012, and we were very pleased there was report this morning that it was another record year for both sales and revenues and profit. Sales and revenues were $65.9 billion and that was an increase of 10% from 2011. Profit was $8.48 a share and that was up 15%. Now the $8.48 per share for the year did include the goodwill impairment charge of $580 million or $0.87 a share and we announced that back on January 18. At $65.9 billion sales and revenues were lower than we expected when we were at this point about a year ago in January 2011 with our first outlook. After a great first half the economies around the world began to slow around mid-year, and as a result dealer sales to end users began to flatten out. We found ourselves with inventory that was too high and dealers also found themselves with too much inventory. As a result dealers slowed orders, and in the third quarter we began the process of scaling back production. Now while production declined somewhat in the third quarter, we took it down much more in the fourth quarter, and because of that we were able to reduce inventory in the fourth quarter by $2 billion, far surpassing our goal of reducing inventory by about $1 billion. Now in addition to the $2 billion that we took out in the fourth quarter, dealers also reduced inventory by about $600 million in the quarter. So, in combination with our inventory and dealer machine inventory a total of $2.6 billion came out in the fourth quarter. That’s a lot of inventory coming out in one quarter, and it was certainly a negative for sales, efficiency and the impact of cost absorption. Now turning back to the full year from an operational standpoint, 2012 was a good year. We've been providing a table near the back of our financial release each quarter this year highlighting our incremental operating profit pull through. Now when we show that, we try to make it apples-to-apples and to do that we've been adjusting for the impact of acquisitions and divestitures. And on that basis, our full year incremental operating income was 43% of incremental sales and revenues.
Douglas R. Oberhelman:
Mike DeWalt:
Operator:
David Raso - ISI Group:
Mike DeWalt:
David Raso - ISI Group:
Douglas R. Oberhelman:
David Raso - ISI Group:
Douglas R. Oberhelman:
David Raso - ISI Group:
Operator:
Jerry Revich – Goldman Sachs:
Mike DeWalt:
Jerry Revich – Goldman Sachs:
Douglas R. Oberhelman:
Jerry Revich – Goldman Sachs:
Mike DeWalt:
Operator:
Jamie Cook - Credit Suisse:
Mike DeWalt:
Jamie Cook - Credit Suisse:
Mike DeWalt:
Jamie Cook - Credit Suisse:
Mike DeWalt:
Jamie Cook - Credit Suisse:
Douglas R. Oberhelman:
Jamie Cook - Credit Suisse:
Operator:
Seth Weber - RBC Capital Markets:
Mike DeWalt:
Seth Weber - RBC Capital Markets:
Mike DeWalt:
Seth Weber - RBC Capital Markets:
Mike DeWalt:
Seth Weber - RBC Capital Markets:
Mike DeWalt:
Seth Weber - RBC Capital Markets:
Operator:
Theoni Pilarinos - Raymond James:
Bradley M. Halverson:
Theoni Pilarinos - Raymond James:
Mike DeWalt:
Theoni Pilarinos - Raymond James:
Mike DeWalt:
Theoni Pilarinos - Raymond James:
Mike DeWalt:
Theoni Pilarinos - Raymond James:
Mike DeWalt:
Operator:
Robert Wertheimer - Vertical Research Partners:
Douglas R. Oberhelman:
Robert Wertheimer - Vertical Research Partners:
Douglas R. Oberhelman:
Robert Wertheimer - Vertical Research Partners:
Douglas R. Oberhelman:
Robert Wertheimer - Vertical Research Partners:
Mike DeWalt:
Operator:
Ann Duignan - JPMorgan Chase & Co.:
Douglas R. Oberhelman:
Ann Duignan - JPMorgan Chase & Co.:
Mike DeWalt:
Ann Duignan - JPMorgan Chase & Co.:
Mike DeWalt:
Ann Duignan - JPMorgan Chase & Co.:
Mike DeWalt:
Operator:
Andrew Kaplowitz - Barclays Capital, Inc.:
Mike DeWalt:
Andrew Kaplowitz - Barclays Capital, Inc.:
Mike DeWalt:
Andrew Kaplowitz - Barclays Capital, Inc.:
Mike DeWalt:
Bradley M. Halverson:
Andrew Kaplowitz - Barclays Capital, Inc.:
Douglas R. Oberhelman:
Andrew Kaplowitz - Barclays Capital, Inc.:
Mike DeWalt:
Operator:
Eli Lustgarten - Longbow Securities:
Mike DeWalt:
Douglas R. Oberhelman:
Eli Lustgarten - Longbow Securities:
Mike DeWalt:
Douglas R. Oberhelman:
Eli Lustgarten - Longbow Securities:
Douglas R. Oberhelman:
Eli Lustgarten - Longbow Securities:
Mike DeWalt:
Douglas R. Oberhelman:
Eli Lustgarten - Longbow Securities:
Mike DeWalt:
Operator:
Ted Grace - Susquehanna Financial Group:
Mike DeWalt:
Ted Grace - Susquehanna Financial Group:
Mike DeWalt:
Ted Grace - Susquehanna Financial Group:
Mike DeWalt:
Douglas R. Oberhelman:
Ted Grace - Susquehanna Financial Group:
Mike DeWalt:
Bradley M. Halverson:
Mike DeWalt:
Ted Grace - Susquehanna Financial Group:
Mike DeWalt:
Operator: